Operator: Greetings and welcome to the Rexford Realty Trust Second Quarter 2013 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Brad Cohen of ICR. Thank you, Mr. Cohen. You may begin.
Brad Cohen: Good morning. We would like to thank you for joining us today for Rexford Industrial second quarter 2013 earnings conference call. In addition to the Press Release distributed this afternoon, we filed a Form 10-Q with the SEC and posted a quarterly supplemental package with additional details and the company’s results in the Investor Relations section of the website at www.rexfordindustrial.com. On today’s call, management remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements are usually identified by the use of such words as anticipates, believes, estimates, expects, intends, made, plans, project, seek, should, will and variations of such words with similar expressions. Forward-looking statements address matters that are subject to risk and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include those related to revenue, operating income or financial guidance. As a reminder, forward-looking statements represent management’s current estimates and expectations. Rexford Industrial assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to these forward-looking statements contained in the company’s filings with the SEC. In addition, certain of the financial information presented on this call represent non-GAAP financial measures. The company’s earnings release and supplemental information package which were released this afternoon and are available on the company’s website present reconciliations to the appropriate GAAP measure and explanation why the company believes such non-GAAP financial measures are useful to investors. This call is hosted by Rexford Industrial’s Co-Chief Executive Officers, Mr. Michael Frankel and Mr. Howard Schwimmer together with Chief Financial Officer, Adeel Khan. They will make some prepared remarks and then we will open the call for your questions. With that I would turn the call over to Michael.
Michael Frankel: Thank you and welcome to Rexford Industrial’s first earnings conference call as a publicly traded company. I will begin with a brief overview of our company and our operating strategy and Howard will then provide an overview of our acquisitions and recent investment activity. Adeel will then follow with a review of our second quarter financial results and an update on our balance sheet. Our predecessor was formed 12 years ago to focus exclusively on value driven investment in management of industrial properties in infill Southern California. Today we are the only pure play public industrial REIT solely focused on Southern California, which we believe is one of the nation’s most significant and most attractive industrial real estate markets. Rexford Industrial’s target market comprises the Southern California infill market, which generally includes Los Angeles and Orange County as well as parts of San Diego County, Ventura County and West Inland Empire for its total infill market is over 1.6 billion square feet within the total 2 billion square foot Southern California industrial market. This is the largest most diverse industrial market in the nation. In fact, the Southern California industrial market is about 78% larger than the next largest regional market surrounding Chicago. Despite its tremendous size, the Southern California infill market also demonstrates the highest occupancy and highest rental rates of any industrial market in the nation with many of primary target submarkets performing at 95% to 98% occupancy today. Southern California is home to the largest base of manufacturing, distribution and infill take businesses in the nation. Southern California is also the most populous region in the United States. With population growth projected at 20% over the next generation. In addition to these underlying growth drivers, Southern California benefits directly from some of the most significant economic transitions currently underway. For example, the ongoing trend of offshoring manufacturing to Asia continues much of this product must then be shipped back to the nation’s two largest ports of Los Angeles and Long Beach. Also infill Southern California is a hub for the nation’s eCommerce business and captures a disproportionate share of the expansion in Internet retailing, which in turn is driving significant growth in the distribution of goods and services in the region. A significant portion of this product is imported through the ports of L.A. and Long Beach and is then delivered regionally direct to consumer or to local retail stores requiring local replenishments from locations in close proximity to the distribution end points. We believe our focus on high barrier, high supply submarket is a significant advantage. Our infill markets are surrounded by permanent natural barriers such as mountains, ocean and growing population centers that limit the introduction of competing product. In addition, the construction of new industrial product per lease is limited by lease rates that do not justify the exceptionally high cost of land and development in infill Southern California. In fact, there is an ongoing reduction in competing product as industrial land and buildings in our submarkets are being redeveloped into alternative uses such as multi-family, office or other uses serving the growing population. Since 2001 alone, it is estimated that over 30 million square feet of infill industrial product has been taken out of the market and converted to other uses. With over 60% of our portfolio located in the most densely populated areas of Los Angeles and Orange counties, we believe our portfolio is particularly well insulated from supply risks. Our portfolio is comprised of approximately 60% multi-tenant properties, which we believe reduces risk and enhances earnings stability. We serve an exceptionally diversified tenant base which includes some large companies but we generally focus on small and medium sized businesses or divisions of larger companies. Many of these businesses are deeply ingrained or structurally tied to the infill Southern California economy and must locate within our target infill markets. Our portfolio is well-positioned to capture strong and sustainable growth. Market dynamics overall are improving and initial results and favorable internal growth in revenue and net operating income as the economy and the economic recovery is extending to include small and mid-sized businesses. In fact, rental rates for small and mid-sized spaces in infill Southern California have only recently began to move from their recessionary lows while rental rates for large big box tenants more typically occupy space in the non-infill Eastern inland empire have already recovered to near peak levels. Consequently rental rate growth in our target markets and portfolio is expected to substantially outpace rental rate growth for larger big box space over the next several years. We are well-positioned to capitalize on the market rental rate recovery with over 40% of our leases rolling over the next two years. We are already capturing the early benefit of an improving market as our consolidated portfolio generated over 350,000 square feet net positive absorption for the first few quarters of 2013. In other words, our net absorption equaled 6.8% of our entire portfolio and illustrates our strong leasing momentum. Rexford Industrial’s strong external growth capabilities within infill Southern California is what truly differentiates our company. We have a deep and active pipeline as demonstrated by our recent acquisition activity which Howard will detail in a few minutes. Finally, I would also like to briefly acknowledge our exceptional team. We built Rexford Industrial from the ground and up for the prior 12 years exclusively focused on investing and adding value in infill industrial property in Southern California. Rexford Industrial possesses every skill set required to identify, acquire, create value in and operate infill industrial property. From a G&A perspective, we believe we have the current capacity to more than double the size of our portfolio without a significant increase in G&A expense in the coming years. In short, after completion of our recent IPO, we believe we are well-positioned to continue to build what we believe will be the most successful industrial property company and the largest most dynamic industrial market in the nation. With that I will turn the call over to Howard to discuss our acquisition strategy and recent investment activities.
Howard Schwimmer: Thank you, Michael, and thank you everyone for joining us today. I will address our targeted acquisition strategy and then review our recent quarter acquisition activity. Starting with our targeted acquisition strategy, we focused on buying industrial properties in the best locations and providing the highest quality, most competitive product in each targeted submarket by proactively renovating and improving our assets. As predecessor established presence and deep knowledge of our submarkets is a major competitive advantage. Since the start of the second quarter of 2013, we have acquired 6 industrial properties for $87.8 million. Over the years, we have developed an extensive set of deal sourcing methods which allows us to originate and negotiate off market investment opportunities. We have a dedicated research team that enables us to identify transaction opportunities, it levers our brand and relationships as well as an extensive broker marketing program to identify potential transaction ahead of the broader market. We interact with over 3000 industrial brokers in Southern California on a consistent basis leveraging technology in our acquisitions team. Since affirmation, we estimate that approximately 50% of our investments have been accorded to off market or softly marketed deals. We believe we are in the middle of a generational shift in ownership. With over 1 billion square feet of industrial asset built prior to 1980 that made ownership transition. In many cases, younger generation lack the willingness or ability to actively manage the real estate and our ability to offer competitive tax efficient exchanges, (royalty) is a distinct advantage. The great example of this opportunity is our recent purchase of two properties, Tarzana and Orion in the San Fernando, one of the lowest vacancy submarkets with a vacancy rate of 1.2% as reported by CBRE. We were able to negotiate a purchase before the properties were formally marketed thanks to a long-term relationship with the listing broker. The seller who inherited the properties was not actively involved in their management and their desire to sell is indicative of the generational change in ownership that is occurring in our markets. The properties have been under managed and were only 84% occupied. We acquired the properties at an attractive initial yield with significant upside potential to lease up to market occupancy levels and by addressing deferred maintenance to drive ground growth. Our target infill markets are very fragmented and apparently less efficient than the big box markets our peers generally focus on. A significant percentage of infill industrial property landlords, private family owners or partnerships are typically not real estate professionals. In fact, if we consider the aggregate square foot owned by all public REITs including Rexford Industrial, it would represent less than 3% of the Southern California industrial market. Consequently Rexford Industrial is positioned by applying professional property and asset management to large value. Rexford Industrial’s second quarter acquisition of Benson, a multi-tenant project in the Inland Empire West, was a good example of a selling partnership in need of liquidity. We were able to acquire the property in an attractive billing and yield by leveraging our relationship with ownership. The property has been poorly maintained due to cash flow issues related to the recession and as a result, occupancy was only 84% well-below market levels. We plan to increase cash flow through reset by proactively addressing deferred maintenance and improving the marketability of the project which sits on a high traffic corner with front end on two main streets. Our target investment opportunities include both stabilized and value added properties. The great example of a stabilized investment is our recent acquisition of Glendale Commerce Center, the multi-tenant industrial complex that cost $56.2 million. This is an irreplaceable 473,000 square foot property representing what we believe is the highest quality product in that submarket. The property was 100% leased at acquisition. This is a complex transaction involving an offshore seller that’s rapidly exiting the U.S. property market. Property has recently fallen out of escrow with another buyer and we were able to leverage key inside relationships to acquire the property before it could be actively marketed. We were able to acquire the property at a favorable above market yield. On a recent acquisition (inaudible) submarket of Los Angeles is an example of our value-add strategy and capabilities. The property was designated as excess corporate real estate by the seller and was brought to us as an offmarket opportunity. The building had some great features that suffered from a lack of dock-high loading as well as deferred maintenance which required repositioning capital and expertise. Consequently we were able to acquire the property at an attractive basis. We plan to fully renovate the building and improve the functionality with additional loading required to strengthen and upgrade. We estimate that the project will generate a very attractive stabilized deal on total costs when completed and stabilized. In summary, so far in 2013, we are on track for another year of strong growth in the company. With our public company capital structure, we are well-positioned to continue to execute on the growth strategies going forward. I will now turn the call over to Adeel to discuss our second quarter results, balance sheet and financing activities.
Adeel Khan: Thank you, Howard, and good afternoon everyone. In my comments today, I will first review our operating result for the second quarter. Then I will review our balance sheet and recent financing transaction. As a reminder, the company’s IPO took place in the third quarter, so second quarter results are (highlight) of the business. Starting with the second quarter results, our portfolio generated solid performance in the second quarter, the total consolidated portfolio was 90.3% lease at the end of the quarter. Our same property portfolio which includes 48 of our properties with 88.2% occupied compared to 77.3% at the end of second quarter a year ago, an increase of 10.9 percentage points. On a same property basis, we generated a 12% increase in the second quarter revenue as compared to year-by-year period, which was driven primarily by an improvement in average occupancy. We reduced same property operating expenses by 3% over the prior year period resulting in a same property portfolio NOI increase up 18% year-over-year. On a cash basis, our same property portfolio NOI was up 21% year-over-year. With regard to leasing for the consolidated portfolio, we signed 489,000 square feet from 93 leases during the second quarter which includes 46 new leases and 47 renewals. This generated 161 space vacated representing 3.1% of portfolio square footage. Year-over-year Rexford Industrial has leased 1.1 million square feet, with (2000) square feet of net lease up while Rexford Industrial has been focusing and driving portfolio occupancy higher rent spreads have turned positive as well. (inaudible) comparable new and renewal leases were 8.2% higher and expiring leases. We are seeing across our markets which is helping to drive the positive releasing spreads. On a cash basis, rents rolled down 2.8%, however, this was weighed down by a few large leases as more than 80% of renewals achieved flat to positive releasing spreads. Excluding one large renewal in Los Angeles county of 68,000 square feet, was renewed on a 10-year lease, cash spread would have been roughly flat. As our portfolio occupancy approaches stabilized levels, we expect cash releasing spreads to turn positive. Turning now to our balance sheet and financing activities. At the close of second quarter ended June 30, our predecessor MD had total consolidated debt outstanding of approximately $351 million. Subsequent to the quarter closing in July, as we completed our IPO and related formation transaction, which increased our liquidity and substantially reduced our indebtedness. Through our IPO comparing private placement and formation transaction, we raised gross proceeds by $277 million through the issuance of 19.8 million shares issued at $14 per share. In connection with the formation transaction, we issued an additional 8.6 million share of common stock and operating into predecessor entity. We also entered into a $50 million term loan and $200 million unsecured revolving credit facility which has an interesting feature that allows the company to increase the facility to $400 million subject to certain requirements. Using process of the IPO, the concurrent private placement and the above noted new borrowings, we repaid $303 million of the $351 million outstanding debt secured by the properties we acquired in our formation transaction. As a result, as of July 31, total debt balance was approximately $121 million with an average turn to maturity of 4.5 years. We enjoyed low leverage with the pro forma debt to market capitalization of 24.7%. We had cash in hand totaling $9 million and $110 million of available capacity on our revolving line of credit. Going forward, we expect to maintain a strong balance sheet with ample capacity to support our growth strategies. With that we will open the call to your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions) Our first question comes from Blaine Heck of Wells Fargo. Please go ahead.
Blaine Heck - Wells Fargo: Yes. Hi, thanks. And looking at your ultimate leasing schedule on Page 15 of the supplemental, it looks like your pro forma occupancy was roughly unchanged from where it was in the prospectus despite the 160, roughly 1000 square feet of net absorption. And so, I was just wondering if you guys could reconcile those two numbers?
Michael Frankel: Are you asking what is the – pro forma occupancy is 90.3% that’s consistent with what we have projected previously in S11. So I’m not clear – exact what’s your question is.
Blaine Heck - Wells Fargo: In the prospectus you had pro forma occupancy of 90.1%, I’m assuming that’s from March 31st. So given that there was 160,000 square feet of net absorption, I would have thought that would have gone up a little bit more than to 90.3%.
Michael Frankel: This is the deal. The pro forma occupancy that was in the S11, 90.1% that you referenced was effectively were on June 4th, if I recall correctly. So they were just a little bit – lack from that perspective from June 30th.
Blaine Heck - Wells Fargo: Okay, great. That makes sense. And hopefully staying on that schedule, if I look at the total pro forma annualized base rent that also went down from $44.1 million on the prospectus to $40.4 million, can you expand on what caused the decrease in that one?
Michael Frankel: The key thing there is. We are reporting, this is the deal otherwise – we are reporting at June 30th and what’s not included in this numbers are Orion and Oxnard.
Blaine Heck - Wells Fargo: Okay.
Michael Frankel: And we were presenting the S11, we were presenting the Orion and Oxnard.
Blaine Heck - Wells Fargo: Pro forma.
Michael Frankel: So that’s your difference.
Blaine Heck - Wells Fargo: Okay, great. And then if you can just give an update on what you are seeing in the many acquisition market, whether or not you had seen any change in the cap rate given the volatility and trust rates, we have seen lately?
Howard Schwimmer: Sure. This is Howard. I will say that our pipeline for acquisition has never been stronger. We are very excited about what we see moving forward. We feel we are very much on track with our goal of completing additional $50 million in acquisitions for the remainder of second half of 2013. And I will comment, it’s your question on cap rates, Rexford, we are not typically a cap rate buyer. We don’t necessarily always look at initial cap rate where we thought and we are more focused on where we stabilize assets in a year or two. And so for us, looking at the broader market, our acquisition goes where there are more into the unlevered return and this we are focusing on – to 11 percentage rates.
Blaine Heck - Wells Fargo: Have you changed any of your underwriting assumptions given the increase in interest rates?
Howard Schwimmer: Well, we – you want to comment on that one?
Michael Frankel: Yes. I could say a couple of this. One, I’m really seeing an impact from interest rate so far and also we incorporate a level of cap rate decompression in our underwriting to leave a substantial buffer for things like increasing cost whether its interest rates or otherwise that limit our cash score value.
Blaine Heck - Wells Fargo: All right, great. Thanks.
Operator: Thank you. The next question is from Michael Mueller of JPMorgan. Please go ahead.
Michael Mueller - JPMorgan: Yes. Hi. Again looking at Page 10 in the supplemental, occupancy of 88.5 at June 30th, can you talk about what that same-store portfolio was occupied on March 31 and then any notable key spent market in there?
Michael Frankel: Well, we are looking good for the deal. We are looking at the Q1 2013 occupancy and we will deal with the question regarding the market first. One comment I would make on the market is the product type we focused on the infill markets the multi-tenant some of the smaller business type product. We are still at the early stages in our recovery. We have seen a good increase in net absorption as well as rental rates stating to firm up. This is just a little bit difference, this story than some of the big box product predominantly that was in the Inland Empire, where you saw a more rapid recovery in that product some time ago and they already ask a reason about some of their peak level occupancies or rental rates. Just to give you an example for us San Diego had been a lagging market and in the past quarter, we saw San Diego make substantial progress in terms of occupancy recovery in rental rate growth and in fact for us San Diego on a cash basis, our leasing spreads were 6% positive and 28% on a GAAP basis.
Adeel Khan: Michael to go back to your other question, I have to deal with that question offline to give you the Q1 same-store occupancy percent. So just stay tuned.
Michael Mueller - JPMorgan: Okay. That’s all I had thanks.
Operator: Thank you. (Operator Instructions) The next question is from (inaudible) of FBR. Please go ahead.
Unidentified Analyst: Hi, good afternoon, everyone. Adeel just the first question for you, just give, if you can just provide what the pro forma data at the momentum with all the acquisitions you just announced?
Adeel Khan: $121 million as of now.
Unidentified Analyst: $121 million as of now, okay. And the next question for Howard; Howard talked about the generational shift here, can you give us some sense of what percentage of your – the pipeline that you are cracking right now is attributable to the generational shift?
Howard Schwimmer: Well, I will you even a better example of the acquisitions we made over the past probably two years, two and a half years approximately 50% of those acquisitions, we feel the catalysts were related to the generational shift. So that – what that means is either people are doing state funding ownership transitioning partners or primary owners that kind of wait. So it’s a quite an interesting phenomenon in one that we see actually growing and becoming even stronger part of the active pipeline.
Unidentified Analyst: Okay. And just when you look at the market right now overall, your current rates are they – do you feel that they are at market, below market, how much different they are than where the market is at the moment for your existing portfolio?
Howard Schwimmer: We still –with an existing portfolio, we believe we are at market.
Unidentified Analyst: Okay.
Howard Schwimmer: That’s really on average. And it’s a great question because when you look at this infill market that we focused in, CBRE projects rental rate increases growing at 8% per annum for the next two years. And in three years reaching rather even starting to exceed back to peak level market rents. So we still have quite a way to go in terms of recovering the peak market rates.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. (Operator Instructions) Thank you. We have no further questions at this time. I would like to turn the floor over to management for any additional remarks.
Michael Frankel: Just want to say thank you to everybody for dialing in today and we look forward to moving forward with you together.
Howard Schwimmer: Thank you.
Adeel Khan: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your line at this time. Thank you for your participation.